Operator: Welcome to Altus Group's Q1 2024 Financial Results Conference Call and Webcast. This call is being recorded. At this time, I would like to hand the call over to Ms. Camilla Bartosiewicz. Please go ahead, ma'am.
Camilla Bartosiewicz : Thank you, Lisa. Good afternoon, everyone, and welcome to the conference call and webcast discussing Altus Group's first quarter results for the period ended March 31, 2024. Our disclosure materials, notably the press release, MD&A and financial statements and the slides accompanying our prepared remarks are all available on our website and as required have been filed with SEDAR+ after market close this afternoon. I'm joined today by our CEO, Jim Hannon, and our CFO, Pawan Chhabra. Some of our remarks on this call and in our disclosure may contain forward-looking information that is based on certain assumptions, and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. Please refer to our forward-looking information disclaimer in today's materials. Please be reminded that Altus Group uses certain non-GAAP financial measures, ratios, total of segment measures, capital management measures, and supplementary and other financial measures as defined in National Instrument 52-112. We believe that these measures may assist investors in assessing an investment in our shares, as they provide additional insight into our performance. Readers and listeners are cautioned that they are not defined performance measures and do not have standardized meaning under IFRS and may differ from similar computations, as reported by other entities, and accordingly may not be comparable to financial measures as reported by those entities. Those measures should not be considered in isolation or as substitutes for financial measures prepared in accordance with IFRS. An explanation of these measures is detailed in today's IR materials. I would also like to point out that unless otherwise specified, all the percentage and basis point growth rates we refer to on today's call will be on a constant currency basis over the same period in 2023 [ph]. Okay, over to you Pawan.
Pawan Chhabra: Thanks, Camilla, and thank you, everyone, for joining us today. Altus delivered solid results in the first quarter with improvements across our key financial metrics. Our team stayed on task, growing revenue and expanding margins. Our results in both Analytics and Property Tax came in ahead of our expectations. Recapping our consolidated metrics, revenue was up 4.3%, profit improved by 93.7% on an as-reported basis. Adjusted EBITDA was up 12.9%, driving 100 basis point margin expansion on an as-reported basis. And notably, free cash flow was up 83.5% on an as-reported basis over last year, which included the impact of our ERP chain transition, or up 41.4% if we compare it to Q1 of 2022. As you're likely aware, there is some seasonality to this metric, primarily relating to the benefits of compensation with our employee bonus payout, which occurs in Q1. Additionally, I'd like to highlight that in Q1, we recorded $5.4 million of restructuring costs, primarily impacting our Analytics business segment, as well as some of our corporate functions. This reflects our ongoing efforts to operate more efficiently and rebalance investments towards future growth initiatives. Turning to our business segment performance, Analytics continues to drive top line growth and margin expansion. Revenue growth is driven by our ongoing transition to the cloud subscriptions, new sales, a higher number of assets on our Valuation Management Solutions platform and contribution from the Forbury acquisition. The combination of Forbury's innovative culture and Altus' global go-to market reach provides us with growth opportunities with a fit-for-purpose software offering in the APAC and U.K. markets and with emerging opportunity in the U.S. banking sector. Adjusting EBITDA benefited from higher revenues, operating efficiencies and our ongoing cost optimization efforts. Recurring revenue represents 93% of our Analytics revenues in the quarter, compared to 90% in the prior year. These revenues comprised of solutions embedded in our customers' most critical processes, and therefore represent resilient revenue streams with low churn. As a reminder in Q4, VMS recurring revenue is seasonally our high point and the high volumes of annual valuations. Our Q1 recurring revenue came slightly ahead of our expectations. The market environment remains consistent to Q4 of FY '23 and expect it to continue through the first half of the year. There are several encouraging signs emerging for a second half recovery, relatively stabilized interest rates, a growing economy, increased activity resulting from distressed sellers and lenders. Many of our clients have expressed their belief that markets have bottomed and volumes are beginning to recover in the second half of the year. Our margins continued to expand up 210 basis points in the quarter. We initiated our cost optimization efforts midway through the first quarter and with recurring revenue growth expected to pick up in the second half of the year. We expect margins to ramp in subsequent quarters this year. We remain confident in our ability to drive 400 to 500 basis points of margin expansion for the full year, which we expect we can do even on the low end of our guidance revenue range. We are increasingly benefiting from higher efficiencies from our global service center in India. And as you saw through our restructuring activities in the first quarter, we have taken action to further refine our operating model. We ended the quarter with 75% of our AE users contracted on the cloud or transition of ARGUS Cloud continues creating more revenue growth opportunities in 2024. Now, with 75% of our AE users on the cloud, our churn from on-prem to maintenance represents 0.15% of our annual revenue. Our maintenance gross retention rate of 89% is no longer a relevant metric and they plan to retire that going forward. Finally, bookings performance was steady and continues to be impacted by current macroeconomic conditions. So the timing of bookings tends to fluctuate. We're encouraged by the healthy recurring new bookings performance in the quarter, which was up 14.2%. As the market stabilizes, we are well positioned to capitalize on the recovery and convert our growing backlog into revenue. Turning to property tax, team had a very strong start to the year. Revenue was up 10.2% and adjusted EBITDA was up 24.9% with margins up 300 basis points. The growth was driven by a strong performance in the US, offset by a decline in Canada and the UK. In the U.S, several of our large settlements were pulled forward from Q2 to Q1. In Canada, the cycle time lines in Western Canada and the impact of the ongoing Ontario cycle extension kind of impacted our growth. The UK continues to be constrained with slower than anticipated GLA throughput, but the backlog of opportunities is growing. The increase in adjusted EBITDA reflects higher revenues offset by higher compensation costs, as well as geographic variances of our revenue and related cost base on a year over year view. Going forward, with the Ontario cycle extension and the CLA constraints, this year's geographic mix is expected to be weighted towards the US, which runs at a lower margin profile. Our outlook however for the year remains unchanged. And we'd also point out that the Ontario government's latest budget release which was released in late March indicates that the Provident province-wide reassessments will continue to be deferred until the province completes its review of the property assessment and taxation system. We continue to constructively engage with the government. And so it's becoming unlikely that it will have a recession in 2025. Finally, appraisals and Development Advisory revenue and adjusted EBITDA were down in the quarter. If the formation of the Indian market activity in the current economic environment as a business segment has some exposure to reduced transaction volumes and higher interest rates which result in fewer appraisals and fewer new project starts. Turning to our balance sheet, we finished the quarter with a cash position of $44.3 million and were $328.6 million in bank debt. The funded debt to EBITDA leverage ratio as defined in our credit agreement was 2.15 times. Applying our cash, the net debt to adjusted EBITDA leverage ratio was 2.06 times. Total liquidity stands at $265.7 million. We have a healthy balance sheet that enables continued investment in growth and opportunistically repurchase shares. With respect to the planned REVS acquisition, the regulatory review continues so we're limited in what we can share at this time. With that, Jim, I'll turn it over to you.
Jim Hannon: Okay, thanks, Pawan. We're pleased with the consistent execution of our long-term value creation strategy, which is built upon four pillars, delivering innovation, driving long-term profitable growth, maximizing our operating leverage, and optimizing our capital allocation. And of course, none of that happens without having the best players in the right job with clarity in their objectives, and that is the Altus team. We expect that the successful execution of this strategy will significantly enhance our cash generation and deliver attractive shareholder returns. Meaningful cash generation affords us flexibility and capital allocation to keep growing our business and enhancing value for our clients, colleagues and shareholders. Our first quarter results reinforce the progress against this strategy. We have new performance analytics capabilities launching this year that will help our clients drive better performance and equip our teams with faster access to information. With the technical foundation of the Altus performance platform and by connecting disparate data sets under an Altus ID, we're delivering deep asset and fund level insights. As Pawan discussed, we're making steady progress, maximizing our operating leverage. At the Analytics, we continue to put up healthy recurring revenue growth and plan to drive 400 to 500 basis points of margin expansion this year. We're listening to our clients and continue to anticipate an improved selling environment in the second half. The Property Tax team delivered a very strong Q1 in the US. We continue to invest in growing our team in the global service center in India, which will fuel further growth. Additionally, our US tax business is now running on itamlink, the core products from the Rethink acquisition. As a reminder, itamlink is a purpose built property tax management software solution, enabling tax professionals to better manage their property tax liabilities and assessments across their property portfolio. Turning to Appraisals and Development Advisory as well as corporate, we continue to deploy technologies and process improvements that will yield higher margins in corporate efficiencies. As Pawan covered, Q1 margins for Appraisals were impacted by lower-than-expected transactions volumes across the general market in Canada. Again, here we expect an improvement in the second half. From a capital allocation perspective, our core focus is to prioritize our investments and our highest growth, highest margin opportunities. We will adapt our capital allocation strategy, as required to ensure that our balance sheet is strongly positioned for the long term. In summary, at a macro level, many of our clients have expressed the beliefs that markets have bottomed. The industry continues to raise fresh capital in anticipation of a recovery. Interest rates, if not declining in the near future appear to have at least stabilized. New debt funds have increased the availability of capital. These factors, combined with some large portfolios beginning to transact may indicate that we're nearing the end of the price discovery phase we witnessed over the last several quarters. This bodes well for Altus and gives us confidence in our full year outlook. We enable our clients to make faster and better decisions. We've worked closely with our largest clients to build their requirements into our Altus performance platform, and we've been in the market demonstrating that innovation. Our experts in tax valuation and development advisory are excited and ready to deliver what we call intelligence as a service. In other words, we're here to help our clients grow their portfolios, optimize returns and reduce risk. And with that, let's open up the line now for questions. So, back to you, Lisa.
Operator: Thank you. [Operator Instructions] And we'll take the first question from Yuri Lynk at Canaccord Genuity.
Yuri Lynk: Hi. Good evening, everyone.
Jim Hannon: Hey Yuri.
Yuri Lynk: Good quarter. Just wondering, if -- just on the guidance, can you remind me the low-end there? Is that assuming that the back half pickup that you're expecting doesn't happen?
Pawan Chhabra: Yuri, great to hear, I'm assuming you're referring to the analytics guidance?
Yuri Lynk: Yeah.
Pawan Chhabra: Yeah. Yeah. So if you recall, we said 8% to 12%, we have predicated the fact that Q1 and Q2 would look very similar to what we saw in Q4 of FY 2023. And then the higher end of the guidance range was tied to potentially seeing more assets being deployed on the VMS side which would get us to the higher end of the range, but at the lower end of the range assumes that the market environment continues the way we've been seeing it in Q1 and anticipate in Q2.
Yuri Lynk: Okay. That’s helpful. I think it was nine, 10 months ago, we heard a lot about Altus market insights and the benefits to the clients there in terms of risk-adjusted returns. Can you give us an update on your conversations with clients on the new product launch?
Jim Hannon: Yeah, Yuri, it’s Jim. Market insights we showed it connect to prove to clients that the office performance platform was here. We have several of the largest investors in Commercial Real Estate. Our clients market insights and market insights is it's a piece of what will be a larger offering that many of our clients have now seen. And that will be generally available at the next all disconnect in September. So it was a piece of what the capabilities of the platform work, pulling together Reonomy, StratoDem on top of Altus data. And we are demonstrating the power of all three.
Yuri Lynk: Got it. Okay. Okay. I'll get back in the queue. Thanks guys.
Jim Hannon: Thank you.
Operator: The next question comes from Gavin Fairweather, Cormark.
Gavin Fairweather: Hey. Good evening. Just on analytics, you've talked in the past about exploring AUM-based pricing with some of your larger clients. Curious, if there's any update on that front and whether perhaps penetrating these clients of market insights or performance management would be perhaps a catalyst for and evolving revenue model.
Jim Hannon: Hey Gavin, absolutely. We have had many large client conversations about that as they -- as we're walking them through the new performance offers. We rate pricing down into two core areas. We're always going to have the trends. Our revenues are not transaction driven, but there are -- there's the ARGUS use case where ARGUS is used on a DCF basis to evaluate a transaction.\ And those we are foreseeing there will be a large amount of per user requests for core ARGUS functionality. It's the advanced functionality where we get to per asset which represents an Enterprise License type approach. And that is how we're engaging with all of the clients on the new offers today.
Gavin Fairweather: Okay. Great to hear. And then also on ARGUS just around renewals. When you spoke to the maintenance renewal and growth renewal rate is no longer really a relevant metric. So I guess it begs the question if you could speak to the Subscription renewal rates you've been seeing with some of the early adopters and whether you've seen any kind of macro impact on that. Thank you.
Pawan Chhabra: Yeah, as it relates to the maintenance renewal rates, it's no longer a material factor in our calculation is when you look at it from a sort of what the non renewing portion of the on-prem clients which as you know were majority on the cloud, now represents in relation to the renewing base. I believe I mentioned in the opening remarks, it's like 0.15% in organics annual revenue number until we didn't find it to be useful going forward which were deciding to retire that number. So just wanted to provide some macro context on the trends that you all are seeing in the MD&A and our intentions of that metric going forward.
Jim Hannon: I take the second half of that question Gavin, you know that when we changed out the systems that we suggested we would be moving towards new disclosures in the future. We're still on that path. I think you're effectively asking us what does net retention look like and for the clients who have purchased the suite of products across ARGUS, VMS and market insights, which is now – those offers are now lease term of bundles. But on our net retention on those client bases are both north of 100% but we're not ready to change our full disclosures on that at this point.
Gavin Fairweather: Great. Appreciate that sneak preview there. And then maybe just on the appraisal and development services division. Obviously, you saw the profitability get hit Q1 with some lower volume but it looks like you maintained the guidance for double-digit EBITDA growth. Do you have visibility on improving billings come out of that business or perhaps a tenants take some cost actions? Maybe just help us reconcile that.
Jim Hannon: Yes. So as Pawan alluded to, he said, and I said in my comments that the general market volumes are down. Our data is demonstrating to us that transaction volumes which does impact the appraisals business was rolled into that number. Our Canadian, so our appraisal business is a Canadian business only. And our transaction volumes at this point suggests that the Canadian market is down approximately 30% year-over-year that is that steeper than we had anticipated at the beginning of the year but we are – we have multiple paths to our full year view of. Yes and we said low-single digit growth for that business. So consistent with what our clients are telling us second half will pick up. So we do need a pickup in transaction volumes but we right now everything is telling us that we're going to see that.
Gavin Fairweather: Thanks so much and I’ll pass it on.
Jim Hannon: Thank you.
Operator: The next question comes from Scott Fletcher, CIBC.
Scott Fletcher: Hi, good evening. Question from me on the license revenue in the analytics business. We saw that your pace has declined be pretty volatile quarter-over-quarter last year. Is there any sort of – and there is another that downdraft this year in Q1. Is there any sort of visibility into how that might perform over the course of the year going forward?
Jim Hannon: Scott, you said the license revenue get down
Scott Fletcher: Sorry, that one-time revenue sorry in the analytics. Yes.
Jim Hannon: One-time revenue. Okay. I was like, I’d probably put out a bad disclosure that are significant because written for placement. All of that is out. On the one-time. This is where you do feel the pressure of the macro market because the one-time projects, things like large system deployments, which if you recall take part of our one-time revenue is that redeploy OEM systems and we like that business because it keeps us very close with the Chief Information Officers at our largest clients. Those projects become more discretionary for them in a tough market environment. So our pipeline is actually as some very large one-time opportunities in it. The clients are – they're watching the team members we are which is they are expecting a pickup in the second half and their P&L support our system deployments.
Scott Fletcher: Okay. Thanks. And then the question probably for Pawan. On the cash flow – on the working capital in particular, last year obviously, a lot of noise with the ERP system implementation. Do you have a sort of line of sight into what the rest of the year looks like from a working capital perspective? Just trying to get a sense of, how the cash flow should look.
Pawan Chhabra: Yes, Scott, it's a great question. And we actually have really good line of sight in regards to just our overall cash flow transmission, just with the function when we've got a great ERP system and it gives us visibility and ability to look at multiple different scenarios associated, with that. You know, we do face pressure in Q1, as a result of the compensation and bonus payouts that we have in Q1, but we've mapped out against, what we're planning, and what we planned for Q2 Q3 Q4. And we continue to remain very optimistic in regards to achieving real leverage for the full year. Again, just a proxy for you, to how to think about it, is just think about it from indicated that it is very popular and we give it some reference points and approach them and now we are trying to drive that long.
Scott Fletcher: All right. Thank you.
Operator: We’ll go next to Christian Sgro, Eight Capital
Q – Christian Sgro: Hi, good evening. The recurring new bookings metric at $16 million, up 14% year-on-year. I'm just wondering, if there's any way for Q1, you could decompose some of the strength in there you're talking about in VMS software where you saw some -- growth of some of the drivers this quarter?
A –Jim Hannon: Yes. Hey, Christian, it's Jim. You know, we don't we don't break out that metric. I understand why you're looking for it, each quarter you have -- because its -- bookings and not just our recurring ratable revenue model -- it looks like the old world of software where you have you have bookings are timed with contract renewals. So sometimes it's so ARGUS the timing of large ARGUS renewal contracts and sometimes it's VMS on and we're now breaking it out by quarter-to-quarter -- each quarter that mix can change significantly.
Q – Christian Sgro: Okay. Understood. And then the second question, a lot more broad. Just wondering geographically, if you're seeing traction in international markets, maybe in Asia, what the market opportunity and strategy is in those geographies?
A –Jim Hannon: Yes, we continue to -- Forbury is at the key part of our international strategy based on the valuation methodologies that you see in the UK, and that you see in the APAC region and Forbury is as Pawan said fit for purpose for those markets. So that's key. That's a key element of our strategy. And then we are following our largest clients as they expand their portfolios. In Asia, they are pulling us in there as many of those portfolios are US VMS clients and they want that same level of transparency on their APAC portfolios.
Q – Christian Sgro: That's helpful. Thanks for taking my questions.
A –Jim Hannon: Thank you.
Operator: Next up, we'll hear from Nevan Yochim, BMO Capital Markets.
Q – Nevan Yochim: Thanks. Hi, guys. I'm hoping, we can start on the property tax where you called out some pull forward of US appeals. Are you able to talk about what led to the change in expected timing? And then what this could mean for property tax growth and Q2 and then the rest of the year?
Pawan Chhabra: Yes. Yoch, you know that the settlement appeals are largely dictated by – the various different jurisdictions and the regulator. So it becomes difficult to ultimately understand if something is going to close in March or April. The team worked very aggressively to trying to have a strong finish. And so they were able to pull in some of these large settlement appeals and in the US from Q2 into Q1. I guess, we're being purposeful here in regard to calling it a pull forward in the sense that it will – it was a pull forward from Q2 into Q1. So we will see some degree of offset in Q2, as a result of that. Again, these large -- these larger deals are something that we have visibility to that we track very carefully and when it swings from one quarter to the next, it becomes difficult to replace those larger deals as the following quarter. With that said, we're seeing great momentum in the business, the teams are leveraging the technology they're being able to work faster and smarter. And we're very bullish in regards to our ability to continue to maintain our full year outlook for that. So this is really just a degree and a shift between Q1 and Q2 in terms of revenue and I also like to underscore the fact that we are seeing a lot of strength in the US. And as I mentioned in the opening remarks, the US we continue to drive greater operating efficiencies. We're pushing more of that business to India. And so it's a growing margin profile business, but in the current year it does represent a lower mix of margin for us. And so that's just something to be cognizant of as you as you model the number. So again the strength in Q1 of this great news, we're extremely pleased about that gives us a lot of confidence for full year, but we're not in a position to call up the full year.
Nevan Yochim: Okay. That's great to hear. And then just on the restructuring program that you guys put in this quarter, are you able to provide an estimate on what the magnitude of potential benefits might be either as a dollar amount or maybe as margin points? And then as an extension, is that all going to be in the analytics and corporate costs or would it fall into some of the other segments as well?
Pawan Chhabra: Yeah. So again just as you know when we gave guidance on the 400 basis points to 500 basis points margin expansion that does include the fact that we -- planning on doing restructuring. And again keep in mind this restructuring is really moving us from one phase of the office journey to another. We spent a lot of time on the development of our APP platform. We're now focused on data science and data analytics, it gives us an opportunity to rebalance our resources in our investments. And so as you think about the lift, it's part of the calculus in terms of how it gets us to that 400 basis points to 500 basis points margin expansion even in lower end of the guidance range scenario, we feel confident in regards to the margin expansion as well too. There is a little bit of other views that it does impact, but that is some that flows into corporate as well too as we continue to designed to our target operating model as we've referred. And there is an expectation that will continue to potentially do a bit more restructuring it come to help us get to that 400 basis points to 500 basis points margin. But again this is really about rebalancing investments to make sure that we're well-positioned.
Nevan Yochim: Okay. Understood.
Pawan Chhabra: The other point to keep in mind again as you guys are modeling this out is we planned these actions to happen in the middle of the quarter. So you're only getting a partial quarter benefit in Q1 as a result of that. So it was designed exactly as we had planned it out. But so in terms of your modeling just think about the fact that we didn't get a full quarter's benefit of the actions that we've already taken.
Nevan Yochim: Okay. And so is it fair to say then that you'll be at a full run rate beginning in Q2. Would it ramp up in Q3 and Q4 as well or is Q2 the full run rate?
Pawan Chhabra: So it would be your latter comment. And as I mentioned there are additional opportunities that we're exploring as we continue to rebalance our resources to get us more geared towards the commercialization of our offers away from the development of our platform.
Nevan Yochim: Got it. Thank you.
Operator: [Operator Instructions] We'll go next to Richard Tse, National Bank Financial.
Richard Tse: Yes, thank you. Can you maybe talk about any operational investments you're currently making beyond acquisitions to open up those markets given that you've broadened the portfolio? And I guess related how do you see the geographic mix of this business are changing over the next and two to three years out from let's say North American versus say Europe or international, just trying to understand how that's going to roll out?
Jim Hannon: So Richard, our operations focus has been -- so when you're in this type of market. And we plan our cost and expense to the lower end of the guidance range, and we'll release investment as we see pipeline build and conversion of bookings to revenue. Our operating focus has been on taking many of our processes across both the analytics business as well as the tax business, and taking our best-in-class processes from our teams and concentrating them into one team in our global service center. So not only do we get wage arbitrage but we're getting paid. We're getting really talented folks in that organization, who are also driving process discipline to the whole business. As we do that. It also gives us data synergies across all of our business units. So we get operating efficiencies and we expand our datasets as they all landed to the common platform of the office performance platform. So that has been our focus that will pay dividends in the quality of the advanced analytics and it improves the operations and the service delivery of both analytics as well as the tax business. As far as North American International, we expect our international growth to pick up again with Forbury at the center of our strategy there. From a VMS perspective, we're following our clients. However, we expect that our bookings backlog in VMS is going to deploy. We think that assets are, when portfolios transactions come back to speed that assets are going to accrue to our client base at a faster pace than any other buyers, and that is going to drive significant growth in the US. So the US or North America versus international mix may not change even though we're driving growth strategies internationally predicated on Forbury.
Richard Tse: Okay. Great. Thanks. That's helpful. And I guess this is a bigger development question. How do you make a decision as to when you go out and acquire this technology versus develop it internally?
Jim Hannon: That's a fantastic question. Forbury is a great example of that. So as we looked at the UK market and the Australian market in particular, for several years, we teed up the investment to bring the alternative valuation methodology came to ARGUS and each time I went through that with the team, we determine that the development investment combined with the go-to-market and the branding and the displacement of a really great company like Forbury, do lend itself to organic pursuit and led us to the acquisition. So speed to market realities and other strategies are both great examples of that we had our data strategy and our benchmarking indexing and scoring strategies in place. And those two acquisitions accelerated the development in both cases. And then at the heart of it is we are -- we look at this from a time to cash flow breakeven and an IRR analysis. So putting all of those together is how we get to that decision. And then, of course, there's the target -- our target leverage on the balance sheet, which is us a giant factor in our decision making.
Richard Tse: Okay. Great. Thank you.
Operator: We'll take the next question from John Souter, RBC Capital Markets.
John Souter: Hi. This is John on for Paul Treiber. Just firstly on the UK annuity billings were in Q2 now. And wondering if you could just remind us again set expectations regarding the additional revenue to be expected from that in Q2? Thanks.
Pawan Chhabra: We aren't -- we don't necessarily disclose the specific annuity revenue, but has been as you know our progress on the 2023 as compared to the 2017 was -- is pretty robust. And so just from an absolute dollar perspective, we would expect that 2023 lists would generate more annuity than we did in 2017. With that said, we continue to watch the throughput from the VOA as it relates to the UK in general. If the VOA have had a very heavy influx of 2017 and plus items that most of our 2017 settlements has ever had already been approved because there were high quality of appeals. But the VOA still has a very heavy backlog of 2017 appeals. And they're still processing through which is impacting their ability – so appropriately work their way through the 2023 list. And so again that's -- that is something that we're staying very close contact with the VOA agency to make sure in regards to just the general progress. So that is a gating factor for us as we think about the UK performance in general. But I would say in general we're seeing great pipeline build. We're seeing great backlog building for the 2023 lists. And we're going to continue to see that the VOA work their way through the Q3, Q4 2017 some that they've received a heavy influx for.
John Souter: So the Q2 seasonality will push more to Q3 and Q4 is over time?
Pawan Chhabra: Yes.
John Souter: Okay, got it. Thank you. And maybe just switching to analytics. Can you speak to the…
Jim Hannon: And John, that will also again remember the geo margin mix that goes with that.
John Souter: Yes.
Jim Hannon: So as the UK 2023 list pushes out to Q3, Q4 that's the higher margin revenue. So we have to factor that into our planning as well.
John Souter: Okay. Thanks for that.
Jim Hannon: So Q2 revenue came into Q1 and then the UK Q2 is pushing the Q3, Q4. So the revenue moves out and the margin mix changes for Q2.
John Souter: Okay. And then just on analytics, can you speak to the upsell opportunities for customers that have migrated to a cloud? And specifically what proportion of those you're seeing deploy additional offerings?
Jim Hannon: It's the -- the new offerings are part of the eCloud and you're going to see those offers when they go GA come even closer together. So if clients are on cloud and then their purchasing motion will be new feature functionality on top of it. But as clients are migrating they're going to be seeing that more as one inclusive offer price. Again if they're just if they're using ARGUS for transactional purposes they will have that option to stay in kind of that basic or standard ARGUS license per user. But what the largest clients are working with us on is one price that includes ARGUS market insights beyond the and/or ADS data depending on which market thereof got in and looking at more on an enterprise level pricing which typically manifests itself as asset-level pricing.
John Souter: Okay. Got it. Thanks for taking my questions.
Jim Hannon: Thank you.
Operator: Everyone at this time there are no further questions. I'll hand the conference back to Jim Hannon for any additional or closing remarks.
Jim Hannon: We thank everyone for the time. It was a good quarter for the Altus team. We continue to, I think the team is very successfully navigating turbulent markets. We keep putting up the recurring revenue growth. We're putting up the margin expansion. We're comfortable with our outlook for the year and we does – we appreciate your time again
Operator: And once again everyone that does conclude today's conference. We would like to thank you all for your participation. You may now disconnect.